Operator: Greetings and welcome to Masonite’s First Quarter 2022 Earnings Conference Call. During the presentation all participants will be in a listen-only mode. After management’s prepared remarks, investors are invited to participate in a question-and-answer session. Please note that this conference call is being recorded. I would now like to turn the call over to Rich Leland, Vice President-Finance & Treasurer. Thank you. You may begin.
Richard Leland: Thank you and good morning, everyone. We appreciate you joining us for today’s call. With me here this morning are Howard Heckes, President and Chief Executive Officer; and Russ Tiejema, Executive Vice President and Chief Financial Officer. Also joining us today for Q&A are both Chris Ball our President of Global Residential; and Randy White, our Senior Vice President-Operations & Supply Chain. We issued a press release and earnings presentation yesterday reporting our first quarter 2022 financial results. And these documents are available on our website at masonite.com. Before we begin, let me remind you that this call will include forward-looking statements. Each forward-looking statement contained in this call is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears in the section entitled Forward-Looking Statements in the press release we issued yesterday. More information about risks can be found under the heading ‘Risk Factors’ in Masonite’s most recently filed annual report on Form 10-K and our subsequent Form 10-Qs, which are available at sec.gov and at masonite.com. The forward-looking statements in this call speak only as of today, and we undertake no obligation to update or revise any of these statements. Our earnings release and today's discussion include certain non-GAAP financial measures. Please refer to the reconciliations, which are in the press release and the appendix of the earnings presentation. Our agenda for today's call includes: a business overview from Howard; followed by a review of the first quarter results from Russ; and Howard will provide some closing remarks and will host a question-and-answer session. With that, let me turn the call over to Howard.
Howard Heckes: Thanks, Rich. Good morning, and welcome, everyone. I’m very pleased to report that Masonite is off to a fantastic start in 2022, delivering strong performance across all key financial metrics as outlined on slide 4. Net sales for the quarter grew 12% year-over-year, while adjusted EBITDA increased 22%, and our adjusted EBITDA margin improved by 140 basis points. Adjusted earnings per share for the period were up 50%, driven by our strong operating results and the impact of a lower share count. We deployed $140 million towards share repurchase in the quarter, including $100 million for the accelerated repurchase program we announced on our year end 2021 earnings call. These results exceeded our expectations, given the slow start in January, when we were still dealing with the lingering effects of the global spike in Omicron that constrained production. Ultimately, it was exceptional execution by our North American residential team that enabled us to recover production and service pent-up demand, as well as disciplined management of price cost across all business segments that made it possible to grow the top and bottom lines so significantly. I am encouraged by these results, not only because they give us a great start to the year, but also because they demonstrate the returns that we are getting from our Doors That Do More Strategy and the investments we have made to position the company to capture upside opportunities from healthy demand. While our European and Architectural segment results this quarter were not as strong as North American residential, those management teams are executing well to navigate the headwinds affecting their business. The European team is adapting to the impact of inflation and softening market demand due to weakening consumer confidence in the U.K. and the Architectural team continues to make progress on the operational and supply chain challenges they have been facing and are on track to return to profitability as planned in Q2. Overall, on a consolidated level, we have certainly generated the right momentum in the first quarter and are well-positioned for another year of strong results in 2022. Let’s turn to slide 5. The Doors That Do More strategy that we articulated at our Investor Day about a year ago has been our North Star and has contributed to our success over the last two years. As you may recall, the strategy has three core pillars: deliver consistent and reliable supply, drive specified demand, and win at the point of sale. Delivering consistent and reliable supply is about operational excellence. By consistently delivering high quality products and outstanding service, we aim to secure Masonite’s position as the industry's preferred supplier and business partner. Driving specified demand is about product. It starts with listening to the needs of our end users, then creating a variety of compelling products and innovative solutions that customers ask for because of how they make life and living better. And winning at the point of sale is about building the power of our brand by increasing awareness, making it easy to do business with us and driving preference through creative down channel marketing. In recent months, driving specified demand has been getting considerable attention from both customers and investors because of the enthusiasm surrounding the launch of our ground breaking M-Pwr Smart Entry Door System, which was showcased at both the Consumer Electronics Show and the International Builders Show earlier this year. Beyond M-Pwr, a door that does a lot more, we've also been highlighting our doors that do a little more. These are doors that give home and building owners more of what they want. More privacy, more lights, more security, more style. This strategic pillar of driving specified demand is particularly important, because along with giving customers more of what they want, these doors can also deliver higher average unit price and gross profits for Masonite. Today, however, I'd like to provide more insight into the pillar of consistent and reliable supply, which in many ways was a key enabler to delivering such strong results in Q1. Let's turn to slide 6. As I said, this pillar is about securing Masonite’s position as a preferred supplier and business partner by consistently delivering high quality products and outstanding service. We’ve been working on a number of initiatives in this area, including investing in capacity and productivity projects to cost optimize our manufacturing network. Diversifying our supply chain to ensure consistent availability of high quality components and leveraging our Mvantage operating system to drive out waste and improve throughput across our operations. These are multiyear initiatives, and our work in these areas is never complete. But here are a few examples of what we've achieved over the past two years. Despite COVID-related disruptions, we successfully opened a Greenfield interior door plant in Tijuana, Mexico, and have since ramped up weekly shipments to match volumes at our other North American interior plants. This facility replaced less efficient capacity elsewhere and is allowing us to more cost effectively service Western markets. Focused capital investments and the application of Mvantage continuous improvement projects has also benefited our existing plants. Over the past two years, we've completed projects that increase production by over 25% at our interior door plants in Monterrey, Mexico and Chillán, Chile. We have also increased production by over 40% at two of our U.S. door fabrication facilities servicing our retail business. To support our strategy of continually improving the mix in our product portfolio, we have introduced new equipment, new suppliers, and optimized processes that enabled a 20% increase in weekly solid core production and a 30% increase in our heritage interior door production over the past two years. Our global supply chain team has substantially reduced our single source exposure by qualifying additional suppliers for several critical inputs. This has helped to make our supply chain both more resilient and more geographically diverse. And finally, as an example of the benefits we are getting from targeted automation, we made capital investments at one of our exterior door plants that have resulted in double-digit percentage reduction in the people needed to run our assembly lines, specifically in positions that were very ergonomically challenging. Our hard work and commitment in these areas hasn't been readily visible in the face of industry wide labor and supply chain constraints, but it is proving to be a smart investment as conditions normalize. The improvements we have made were an important part of our ability to drive excellent performance in the back half of Q1 and I believe that through many new projects we have in place now we are developing a strong competitive advantage based on providing consistent and reliable supply to our customers. Looking out longer-term, our early successes in the execution of our Doors That Do More Strategy is what gives us confidence in our ability to deliver our Centennial Plan financial goals as outlined on slide 7. Organic growth has been stronger than expected and the potential we see in our Doors That Do More product innovations, together with the possibility of strategic M&A, positions us nicely on the glide path towards our goal of achieving $4 billion of net sales in 2025. As revenue has increased, so is the amount of adjusted EBITDA dollars that are falling through to the bottom line. We have a number of initiatives focused on driving richer product mix, managing price cost, and leveraging Mvantage to drive production efficiencies, all of which position us to achieve our 20% margin goal. We made strong improvement in ROIC in 2021 with a 560-basis point increase to 14%. We're expecting another step up this year based on steady improvement in profitability and a disciplined capital allocation process that focuses on the highest returning projects. Overall, I'm pleased with our progress so far and look forward to giving you more insights into our strategy and our results on future calls. Moving on to slide 8. Before I turn the call over to Russ, I want to highlight our latest Annual Environmental, Social, and Governance Report that was published yesterday. This report outlines our ESG objectives for the remainder of this decade. I'm very proud of the team's progress on ESG in 2021, and I believe our 2030 ESG vision of renewed responsibility with focus on caring for the environment, uplifting our employees and communities, and innovating sustainably will help ensure we continue to do well by doing good. This is an important area of focus for the company and one with significant investor interest. I’d encourage all of you to visit our website to download a copy of the new report and to learn more about what we have been and will be doing as we move forward on our ESG journey. We have a lot of folks at our company doing some inspiring things and we think you will find our report quite compelling. With that, I’ll turn the call over to Russ to provide more details on our financials. Russ?
Russel Tiejema: Thanks Howard and good morning everyone. Turning to slide 10, I’ll start with an overview of our first quarter financial results. We reported net sales of $726 million, up 12% as compared to the first quarter of 2021. The growth was primarily due to a 15% increase in AUP, which was up year-over-year across all three segments. This increase was partially offset by a 1% decline in volume, a 1% decrease due to a prior year divestiture, and a 1% decrease due to unfavorable foreign exchange. The year-over-year decline in volumes resulted largely from weaker market demand in the U.K. and a production reset in the Architectural segment, positively offset by a low single-digit volume increase in the North American Residential segment. Gross profit increased 16% to $184 million and gross margin increased 90 basis points year-over-year to 25.4%. AUP growth came in higher than expected, due in part to stronger volumes as we progressed through the quarter, as well as favorable product mix. Material inflation impacts in the quarter were generally in line with our expectations, although we did see evidence of a further uptick as we progress through the quarter. I'll speak more about that later. Selling, general, and administration expenses were $83 million, down 1% compared to the same period last year and SG&A as a percentage of net sales fell 140 basis points to 11.5%. Net income was $68 million in the quarter, an increase of $21 million in the prior year, driven primarily by higher gross profit. Diluted earnings per share were $2.89, up 53% from $1.89 in the first quarter of last year. Adjusted earnings per share were also $2.89, up 50% compared to $1.93 in the first quarter of 2021, which excluded $1 million in charges related to restructuring. The significant increase in adjusted earnings per share was primarily due to the higher reported net income in the quarter, as well as the benefit of a lower share count due to our share repurchase activity. Adjusted EBITDA increased 22% to $125 million for the quarter, while adjusted EBITDA margin expanded 140 basis points to 17.2%. On the right-hand side of the slide, we have more detail on our adjusted EBITDA performance, which benefited from strong year-over-year price realization. As expected, cost of goods sold increased sharply year-over-year in the first quarter, driven primarily by $55 million of inflation on raw materials and inbound freight. We also had $20 million of additional factory and distribution costs, approximately two-thirds of which were related to inflation with the remainder primarily due to start-up costs for new plants and volume deleveraging in the Architectural and European segments. Let's turn to slide 11 for our North American Residential segment results. Net sales increased 19% from the prior year to $569 million, driven by AUP growth of almost 17% and volume growth of almost 3%. Outstanding performance by the North American Residential operations team enabled us to recover production in February and March after a weak start in January, which in turn helped to rebuild channel inventories. A number of workforce stabilization initiatives were successfully implemented, including changes to hiring processes, shift structures, and wage adjustments. Howard noted many of the other drivers that made volume recovery possible in his remarks earlier about our focus on delivering consistent and reliable supply. Adjusted EBITDA in the North American Residential segment was $128 million in the first quarter, up 35% from the same period last year with an adjusted EBITDA margin of 22.5%, up 270 basis points. Margin came in higher than expected due to strong AUP and the year-over-year volume increase. The main demand has remained broadly resilient exiting the quarter, but moderated somewhat in April as wholesale inventories normalized. Feedback from the channel is that our production has improved more quickly relative to other building product categories. Constraints in other products had elongated the build cycle and could weigh on near-term demand from builders. In the retail channel, however, customer sentiment remains relatively bullish on demand as the RRR market remains healthy. In the intermediate and longer-term, we remain confident that the overall U.S. housing market fundamentals remain attractive after more than a decade of undersupply. Turning to slide 12 in our Europe segment. Net sales of $80 million were down 9% year-on-year, but up 1% excluding the impact of foreign exchange and the divestiture of our business in the Czech Republic completed in June of last year. Strong AUP growth of 16% was offset by a 16% decline in volume. Demand softness in the quarter was driven by weakening consumer confidence in the U.K., which is affecting major purchase decisions. Adjusted EBITDA was $12 million in the first quarter, down 29% year-over-year. Adjusted EBITDA margin was 14.7%, down 420 basis points due to volume deleveraging and the disproportional impact of volume declines on our higher margin exterior business. The European leadership team refrained from immediate head count actions earlier in the quarter to protect capacity for a possible volume recovery following the January spike in Omicron. Now with the potential for lingering market softness, the team has moved to flex cost out. We expect to realize some of these benefits in Q2, although this will likely be offset by some one-off costs we expect to incur in the final transition to our new Stoke-on-Trent Plant in the second quarter. Finally, in light of industry wide questions over the past several weeks regarding commercial and supply chain impacts of the war in Ukraine, I wanted to highlight that there is no direct impact on our business. The indirect impacts we have felt are in the areas of energy inflation and consumer confidence, which are presenting some cost and demand headwinds presently. Moving to slide 13 in the Architectural segment. Net sales in the quarter decreased by 5% year-over-year to $71 million, driven by a 10% decline in volume and a 4% decline in component sales, partially offset by a 9% increase in AUP. Adjusted EBITDA improved sequentially to a loss of $3 million in the first quarter. Pricing more than covered inflation dollars, although negative volume leverage remained a headwind to margins. As anticipated, the volume decline in the quarter was primarily isolated to January, when the operations team was focused on cleaning up backlog so as to improve throughput. Production volumes and service levels both improved sequentially through Q1 and the segment returned to modest profitability in March. Demand has remained stable with the majority of Q2 orders already in-house. The team is working through remaining material and production constraints and we continue to believe the segment will be profitable in the second quarter. Slide 14 summarizes our liquidity and cash flow performance. At quarter end, our total available liquidity was $443 million, inclusive of unrestricted cash and accounts receivable purchase agreement and our undrawn ABL facility. Net debt was $683 million, resulting in a net debt-to-adjusted EBITDA leverage ratio of 1.6 times. Cash used in operations was $38 million through the end of the first quarter as compared to $14 million used in the first quarter of 2021. The higher cash used in the quarter was anticipated given changes in net working capital, which were exacerbated by the continuing impacts of inflation and extended transit times. Capital expenditures were approximately $19 million in the first quarter, up from $14 million in the prior year quarter. As we near completion on larger scale investment in our new Fort Mill and Stoke-on-Trent facilities. From the beginning of the year through February 22, we repurchased approximately 388,000 shares of stock for $40 million in the open market. We subsequently entered into our previously announced accelerated share repurchase agreement and received an initial delivery of approximately 848,000 common shares in exchange for a prepayment of $100 million. Together, these resulted in the retirement of over 1.2 million shares since year end 2021. We now expect an average diluted share count of approximately 23 million for the year. Turning to slide 15. Q1 was clearly a great jumpstart on the year. Our teams executed exceptionally well and delivered results that exceeded our expectations. Our track record of successfully executing AUP initiatives was demonstrated again in the first quarter. We're also encouraged by the improved health of our supply chain and manufacturing operations. As Howard noted, our global sourcing team has worked hard to diversify our supply base, improving material availability and reducing the risk of shortages. Alongside this, workforce initiatives executed by our HR teams have resulted in lower turnover and absenteeism at our plants, helping to provide more stability, improve efficiency, and deliver on the consistent and reliable supply promise to our customers. Based on this momentum, we are well-positioned to meet or exceed the full year outlook we provided in February. There are a variety of well-publicized macroeconomic factors however, which create a mixed picture for the balance of 2022. I'd like to provide some color on variables we are prepared to address in order to deliver strong results regardless of the external environment. One macro factor further impacting the business is inflation. Our assumption at the beginning of the year is that we would experience full year inflation in the low to mid-teens. As I mentioned earlier, inflation moved up yet again in the first quarter and we now think a full year rate in the range of 20% is possible as wood, chemicals, and logistics costs continue to escalate. These higher input costs will flow from inventory to production in the second quarter. Combined with weaker near-term results in Europe, this could yield lower adjusted EBITDA margin year-on-year in the second quarter, although margin for the first half overall is now expected to be flat or slightly ahead of last year, better than previously anticipated. We remain committed to maintaining a favorable price cost relationship and continue to expect margin expansion for the full year. The impact of inflation as well as higher interest rates also clouds somewhat the demand outlook for housing. Commentary from U.S. homebuilders has remained positive, yet affordability concerns could ultimately lead to softening market conditions going forward. Despite these variables, it's important not to lose sight of other key factors which are supportive of our business in both the short and long-term. First, underlying demand for new housing in the U.S. has not diminished. Housing supply remains limited and there continues to be a persistent gap between starts and completions. Absent a major economic contraction, this should provide a multiyear tailwind for the construction of new housing. Second, irrespective of housing unit growth, there are trends impacting the demand for our products, given the evolving use of the home and the role that doors play. For example, working from home is expected to remain permanent in some form, driving the need for additional rooms and the desire to trade up to doors that do more, more privacy, more style, more light, more security. And third, it's important to remember that over 50% of our North American Residential business is attributable to the repair and remodel market. Retail point-of-sale trends remain quite strong and could be supported further as higher home values and limited for-sale inventory encourage people to continue investing in their existing homes. In summary, there are a number of moving pieces influencing our business. We will stick to our strategy and adapt quickly to the changing environment in order to take advantage of opportunities which emerge while mitigating risks that materialize. We expect to gain additional clarity on the impact of these macro factors in coming months. And where appropriate, we'll update our full year guidance on our second quarter earnings call. Now I'll turn the call back to Howard for closing comments.
Howard Heckes: Thanks, Russ. To summarize, we’re off to a good start and positioned to deliver another year of accelerated growth on top of the solid performance we recorded in 2020 and 2021. Like the last two years, we continue to see substantial macro volatility, but our Doors That Do More Strategy provides the North Star that has helped drive our success so far, and the teams are executing well on the fundamentals. Inflation is coming in higher than expected this year, but we are carefully monitoring the situation to ensure we stay price cost favorable. Our efforts to deliver consistent and reliable supply to our customers are on-going and include targeted capacity enhancements that will allow us to take advantage of any upside in demand or mix shift and to more easily move volume between plants, should there be localized business interruptions. We also continue to optimize our production operations and are prepared to flex out cost quickly if necessary. Each year since I joined the company in 2019 has brought with it new challenges that none of us were expecting. But just as we have over the past two years, our team will continue to push forward towards our 2025 Centennial Plan goals, regardless of the headwinds. And we are confident that we will get there by delivering consistent and reliable supply by driving specified demand, and by winning at the point-of-sale. Thank you. Now I'd like to open the call to your questions. Operator?
Operator: Thank you. . Our first question comes from the line of Mike Dahl with RBC Capital Markets. Please proceed with your question.
Mike Dahl: Good morning. Thanks for taking my questions.
Howard Heckes: Good morning, Mike.
Mike Dahl: Good morning. Russ, maybe a follow-up for you first on the inflation comments and then guidance. You talked about inflation. Now it’s possible that you'll see 20% full year inflation. Is that what is now embedded in the unchanged guide? And if so, how should we be thinking about additional pricing that’s either already been taken or that will be required to then hit your margin targets?
Russell Tiejema: Yes, Mike, thanks for the question. So with respect to raw material inventory or raw material inflation, excuse me, the short answer is, yes, it is embedded in the commentary that we've made. Just to give a bit more perspective on inflation. We came into the year, as you might recall, expecting it to be low to mid-teens. That would have been similar to what we saw in 2021. We knew that our steel costs were going to step up meaningfully as contracts reset at the end of last year. Our viewpoint previously though is that wood and chemicals would probably stabilize somewhat, albeit holding near pretty high exit levels in 2021. Okay. Well, we’ve since seen more inflation. Wood supply remains pretty tight. PetChem shortages and the fragility of that supply chain and demand have created more chemicals inflation, and so really wood and chemicals are where we’re seeing further inflation. We saw that begin in Q1. That will begin to flow into the P&L in Q2. And we’ve also seen really no moderation and in some cases even further inflation in the logistics cost that we bear to move freight on the ocean. And so we’ve taken all of that into account in our viewpoint that material inflation is probably more in the order of 20% now for the year. So what we have said consistently is that we’re committed to maintaining a favorable price cost relationship. We will continue to take actions and have communicated actions that are embedded in the guidance commentary that I offered earlier.
Mike Dahl: Okay. That's very helpful. Thanks. And my follow-up question is somewhat related, but as we think about the combination of maybe some of this macro uncertainty and also clearly a very heightened inflationary environment with respect to the end pricing that you are putting through and that consumers are facing, is there any -- I know you’re actively shifting your product mix kind of higher value. But underneath the surface, are you seeing any signs of any trade downs in response, whether in ordering patterns or other activity that you're seeing, any mix down in response to higher pricing?
Howard Heckes: Yes. Mike, this is Howard. The short answer is no. Generally, we remain very bullish on housing fundamentals and demand. Now as Russ said, there are some macroeconomic things that are obviously making a bit of that cloudy and mixed. But if you look at our segments, in NA Res, demand is strong and mix is positive. Product mix, we’re seeing actually trade up which is helping our AUP. As you know, housing remains underbuilt. And as Russ said, there’s a large gap between starts and completions and we think that those are going to point to continued growth. And we like doors as a category generally. Within housing, as we’ve talked about, people are spending more time at home and they want an extra room for an office, for example, and often an extra room means an extra closet and that means more doors and it sometimes means an extra bathroom. And so we like doors within the category as well and so we’re bullish on demand. Just recognize that affordability issues in the near-term as well as extending the build cycle could soften demand in the back half. But we’re fortunate because we had a strong start. So we can be conservative in the near-term and we don’t need a hockey stick in the back end in order to deliver our guide.
Mike Dahl: Okay. Great. Thanks, Howard.
Operator: Thank you. Our next question comes from the line of Steven Ramsey with Thompson Research Group. Please proceed with your question.
Steven Ramsey: Hi. Good morning. Maybe to start with NAR demand by channel, maybe to get some more thoughts on your comments that retail sentiment is more bullish than wholesale. Am I understanding that right? That sounds the opposite of some commentary from public companies and our channel checks. So maybe just anything to add there?
Howard Heckes: Yes. Thanks, Steven. I wouldn’t say that that’s necessarily true. Retail is indeed bullish and POS remains sort of mid-single-digits positive there. It’s been great for years, but we’re also bullish on new construction. We just have these -- the potential of delayed building cycle. As Russ said, our customers are telling us that our recovery has been quicker than some others in the building materials space, some other categories, and elongated build cycles could just soften demand a bit, but we remain very bullish in the long-term. Chris, if you want to maybe add some color to that.
Christopher Ball: Yes. I think I'd add into it. This is Chris here. The overall short supply we’ve talked about would count as backlog on new construction, plus the home equity increases that consumers are seeing out there lead to both RRR as well as the new construction markets having some nice tailwinds right now in the marketplace. So affordability challenges and obviously interest rates are something that could be a bit of a headwind from a new purchase standpoint. But we think that our presence on both of those markets and how we're serving them, frankly, from a reliable supply standpoint, set us up very well, taking advantage of the market.
Steven Ramsey: Okay. Helpful. And then on the second quarter margin guide being down, can you clarify again if that was sequential or year-over-year basis or both? And the factors that drove that you talked about, is that primarily due to Europe or is that inflation hitting NAR?
Russell Tiejema: Yes, Steven, it's Russ. The short answer is both sequentially and year-on-year. And there are really two primary factors that we see in that. One is, you mentioned Europe, and clearly, they are seeing weaker demand right now. They are moving to flex their cost in line with that short-term demand downdraft in the market. But conditions in the U.K. are a little bit challenged right now, particularly on the RRR side of the business, which we service with pretty high AUP and high margin exterior fully finished door sets. The other key factor is in North America. As I mentioned earlier, this increased inflation that we saw in the first quarter, that's going to start moving from the balance sheet into the P&L as we bring that higher cost inventory or higher cost product out of inventory into production of saleable products. So that will be a bit of a headwind for the North American Residential business in the second quarter, again ahead of incremental price cost actions planned and discussed with customers.
Steven Ramsey: Helpful. Thank you.
Howard Heckes: Thank you.
Operator: Thank you. Our next question comes from the line of Josh Chan with Baird. Please proceed with your question.
Joshua Chan: Hi, good morning. Congrats on a strong quarter.
Howard Heckes: Thanks, Josh.
Joshua Chan: Hi, good morning. Very strong operating performance in residential exiting the quarter, could you talk about if anything changed kind of internally to drive this and the degree to which those things can be sustainable kind of past Q1 and maybe whether you can implement some of these changes in your other segment as well.
Howard Heckes: Hey, thanks, Josh. I'm going to turn this one over to Randy White. He's joined us today. He's responsible for our operations and supply chain and obviously instrumental in a lot of the progress we've been making really over the last several years. But I'll let Randy speak specifically to your question.
Randal White: Okay. Thanks, Howard, and thanks, Josh, for the question. So I'll start by saying, yes, we’re confident in our ops team’s ability to continue to sustain this level of performance. So I think the short answer to your question is, yes, I mean, we’re very confident there. So the Q1 performance was driven by everything Howard just talked about in his discussion on consistent, reliable supply, including all the investments in capacity, the supply chain diversification work, and really the deployment of our Mvantage operating system tools and standards across the business. So I think that’s the lever we use to drive our continuous improvement efforts. Also, I would say our workforce stabilization was also key in Q1. Obviously, we made some changes to our wage and benefits structures, our shift schedules, and things of that nature. But we did recover from a pretty significant Omicron spike early in January. We worked our way through that and stabilized throughout the quarter. I think all those things work across not just North America Residential, but all of our other businesses as well, European and Architectural segments. Now the mix of the issues we might be facing there might be a little bit different in those businesses, but the tools apply across all those businesses as well. And obviously, as you look at Architectural, it’s probably our area of biggest opportunity. They’re not as mature in the Mvantage journey as say North American Residential is. But we’re confident those tools will continue to work there and will drive some of the complexity out of that business as we go. So the last thing I’d say is, keep in mind, this continuous improvement mind-set is in our DNA as an organization and we’ve been working on these things for quite some time. And as Howard mentioned earlier, the last couple of years, some of these events have kind of muted some of the efforts and/or maybe some of the benefits of the work that’s been going on. But as things have normalized and started to normalize, we’re starting to see that, seeing these benefits ring through and those will continue as we go into 2022.
Howard Heckes: I just want to come in over the top of that for a minute and really thank our operations team and leadership. Because candidly, they’ve been getting kicked in the teeth for the last two years between labor and supply chain challenges and it’s been a real, real fight. And they’ve been working hard on a lot of these initiatives that we knew were going to pay off, right, and are paying off and will continue to pay off, not only in NA Res segment, but ultimately in Architectural, and in the European team, too. So hats off really to Randy and the team because it’s been a tough couple of years, but I think it is in our DNA. We are an operationally excellent company, I’m convinced of that. And as I said, it would be good for us and our shareholders for a long time.
Joshua Chan: Yes. That’s a great color. Yes. Thanks for that color. And on to -- my second question, I guess, is on to the volume in residential. Obviously, your operations have improved your throughput has improved, but you also talked about some potential choppiness. So could you talk about kind of whether you think volume can stay in the positive territory as we go through the rest of the year? What are some of the puts and takes to the volume there?
Russell Tiejema: Hey, Josh, it’s Russ. I’ll share a little bit more color on that. I mean, clearly on the heels of the comments that Randy and Howard just shared, the first quarter has given us a really nice start. And the operations team in North American Res in particular, their ability to improve production levels and improve service levels were really instrumental. What that also allowed, as I commented earlier, is that wholesale inventory in the channel was able to normalize in the first quarter. And so as we exited the first quarter, we did see demand moderate a little bit as those inventories had become more normalized in nature. But demand is still pretty resilient overall. Back to Chris’ comments, we continue to see healthy demand and growth on both the RRR and the new construction side of the business. I’d say the picture is cloudier once you get to the second half, and our viewpoint is, it's just good to be prudently conservative given some of that macro backdrop. We’re going to take a wait-and-see approach before we get too specific about what volume could look like for the balance of the year. But could you see a little bit of volume softness in the second half in the North American Residential business? Sure. But as Howard mentioned before, we feel really good about our outlook for the full year. We’re not relying on a hockey stick to deliver the commentary I offered earlier that we think we’re on track to meet or exceed. So we’ll see how the year plays out. Again, wait-and-see with respect to the specific guidepost for the balance of the year. We’ll come back at the second quarter. We think we’ll have a little bit more clarity at that point on what the macro backdrop is going to do as we move through Q2. And if appropriate, that’s when we’ll provide more specific guidance for the balance of the year.
Joshua Chan: That sounds good. Understandable and good luck in the rest of the year.
Howard Heckes: Thanks, Josh.
Operator: Thank you. Our next question comes from the line of Mike Rehaut with JPMorgan. Please proceed with your question.
Douglas Wardlaw: Hi, good morning. Doug Wardlaw on for Mike. You guys stated that your recovery has been quicker than other companies within the building products space. And I want to know if you guys could give some more color as to why you think that is and do you see yourself continuing on this kind of path or pace of recovery for the rest of the year.
Christopher Ball: Hey, this is Chris here. Let me try to take a shot at that, Doug. As we look at the work that was done on the kind of end of Q1 recovery from a manufacturing standpoint, we felt really good about our output and how we've been able to satisfy demand. The feedback we're hearing from the channel especially on the new construction side is there are other product categories. Now we’ve heard about garage door extended lead times and making sure that they’ve got all of the electrical equipment in place to get the homes closed. And so I say the timing between when the house starts and when the completions finish up, that continues to be extended and we feel good that within kind of the demand we’ve seen on the books that we’ve done a nice job of satisfying that demand. We’re hearing that now the delays in closings have not pulled back up because we continue to hear of supply chain constraints that really move around. I mean, if you listen to some of the builder commentary, each week brings a different delay with a different segment of the market. So it’s really across the supply chain right now that there are challenges and we feel really good about our strategy, how we’ve executed on it, now we’ve been able to really meet the demand that’s out there. So that as that cycle continues to satisfy this kind of backlog of demand, we’ll be in position to continue to grow.
Douglas Wardlaw: Great. Thank you. And then just I was wondering if you could give a little bit more info on just how you guys feel the progression of sales and margin trends will be going into 2Q and beyond.
Russell Tiejema: Yes, Doug, it’s Russ. I’ll take that one. So with respect to margins, I guess I’d rewind and remind everyone coming into the year, we expected that on a year-on-year basis, we’d probably see some compression in Q1, more like parity in Q2 and then margin growth in the back half of the year. And in some respects, we see that flipping a little bit now between Q1 and Q2. We clearly delivered really strong margin results in the second quarter. As I commented to one of the questions earlier, we see some pressure specifically in Europe and on the commodity inflation side that puts us under a little bit of pressure for Q2. But despite all that, if you look at the first half in totality, we would expect our first half margins to be flat or even up slightly year-on-year. And that’s a little bit better than our expectation coming into the year. And then in the second half of the year, we would continue to see year-on-year margin expansion across both quarters as we fully realize all the price cross initiatives that are in place, continue running what we believe will be a relatively stable supply chain environment, albeit at higher inflation levels. And so now, not unlike our commentary at the beginning of the year, where we acknowledge that volume and end market demand really was going to be the single largest driver, kind of on where we fall within our guidance range, volume is still, we believe, the number one influencing factor in the second half of the year as to how much strength we can drive through the business.
Douglas Wardlaw: Got it. Thank you, guys. Good luck.
Howard Heckes: Thanks, Doug.
Operator: Thank you. Our next question comes from the line of Trey Grooms with Stephens. Please proceed with your question.
Noah Merkousko: Thanks. This is Noah Merkousko on for Trey. Thanks for taking my question and congrats on the strong quarter
Howard Heckes: Thanks, Noah.
Noah Merkousko: So first, it sounds like you're making really good progress on the Doors That Do More. And I was wondering if you could breakout the positive mix impact that had on price on the quarter and how you think the -- sort of frame up the magnitude of that benefit as we move throughout the balance of the year?
Russell Tiejema: Yes, Noah, it's Russ. I'll take that one. We did see some favorable product mix in the quarter. I wouldn’t hazard to break that out specifically on what you saw on our AUP, but what I would tell you is that within the North American Residential business in particular, you saw favorable trends in solid core, which the growth in solid core doors over-indexed our overall interior growth, our heritage design, which you might recall is our craftsman style, one of our newer, higher style doors within the interior door line, the growth in heritage indexed it like 3x the overall interior growth. And then within exterior doors, we saw higher relative growth index on fiberglass as opposed to the lower end steel. So all three of those are contributing to mix and I would tie that back to the comments that Howard made earlier, which is there’s a lot of discussion around doors that do a lot more, right. Those are the parts of the market where we believe we’re industry leading and bringing products forward that are new to the category and can create a lot of excitement and buzz. But doors that do a little more have a really important role to play in the home, particularly given some of the secular trends we’re seeing with, as Howard mentioned, people using their homes more, including in a work from home environment. And so the ability to demonstrate the role that a door plays in that new use of the home and particularly in sound attenuation, the solid core door demand is, I think, being recognized or improving as customers recognize the benefits a product like that offers. So that’s what we’re referring to with mix benefits, and that's an area that we're going to continue to lean into because frankly, we think they’re very favorable secular trends for our category that are going to underscore that.
Noah Merkousko: Thanks. That’s really helpful. And then on my follow-up, still expecting margin expansion in the back half of the year and I think you just said volume and the uncertainty there is going to be the biggest driving factor. But I guess if we assume the market stays healthy and maybe you can hit a low single-digit volume growth in the back half of the year, is it reasonable to assume you could have EBITDA margins in the 17 plus percent range like you had in 1Q here?
Russell Tiejema: Yes, it’s Russ again. Let’s defer that until we've got better visibility into the back half. If you look at the strength that we have demonstrated so far in pricing, we think that that will probably carry through a little bit more at a greater degree than what our view point was coming into the year. But we still think it's prudent to consider there are some offset risks in that in volume in the second half of the year. How large that risk could be remains to be seen. As Chris mentioned, we’re seeing nice, resilient demand levels across both new construction and RRR for now. But at the end of the day, there’s still a lot of cloudy macro factors out there and that in combination with the inflation pressures that we’re seeing, we don’t want to get too far over our ski  tips with respect to how much margins could expand in the second half of the year. We’re going to get better visibility on that, we believe, over the next few months and we’ll revisit it on the Q2 call.
Howard Heckes: I’d just like to add one thing, Noah. We’ve laid out this Centennial Plan that suggests $4 billion in revenue and 20% EBITDA margins by 2025. And as I said in my prepared remarks, we think we're on a nice glide path, certainly toward the top line. And while we weren’t able to grow margin rates last year due to a lot of unforeseen circumstances, we think that margin progression is going to continue this year, and we are focused on that 20% rate. So whether or not we can get to 17% this year, certainly if we can, we will. We're really focused on 20% plus in 2025.
Noah Merkousko: Yes. That all makes sense. I appreciate the time, guys.
Howard Heckes: Thanks, Noah.
Operator: Thank you. Our next question comes from the line of Jay McCanless with Wedbush. Please proceed with your question.
Jay McCanless: Good morning, everyone. Great quarter.
Howard Heckes: Thank you.
Jay McCanless: So just to really flesh this out. The concern you have about second half volumes is related to the builders being able to pull more homes through the cycle rather than any concerns about big box demand. Is that a way to simplify it maybe for in terms of how you’re thinking about it for the back half of the year?
Howard Heckes: Yes, absolutely.
Jay McCanless: Okay. All right. I know you have said that in different ways, but I just want to make crystal clear where the concern is. I guess my other question would be, can you frame historically what the split has been between interior and exterior doors? And have you seen with work from home some of these new floor points you’re actually seeing a shift higher in interior versus the historical split?
Russell Tiejema: Jay, its Russ. Historically, what we’ve seen is circa 80% of our unit volume has been interior, 20% exterior. I don’t know that we’ve seen any meaningful shift in that actual split of the business thus far. What we are seeing is that this emerging trend around higher mix product, particular for interior doors we are seeing start to materialize. So that’s an area that we’ll continue to monitor and frankly lean into when it comes to our product development and marketing efforts.
Jay McCanless: Got it. Okay. Thanks for taking my questions.
Russell Tiejema: Thank you.
Operator: Thank you. Our next question comes from the line of Kevin Hocevar with Northcoast Research. Please proceed with your question.
Kevin Hocevar: Hey, good morning, everybody. A nice start to the year here. Just from a high level perspective, I think you guys are about a year into since you had the Investor Day and you talked about getting $1 billion in sales between the Doors That Do More and acquisitions. Curious if you can just update us on how that’s progressing. I don’t think there’s been any acquisitions to-date so curious how the pipeline looks and as well as the Doors That Do More, I don’t know if you can quantify how the progress you’ve made, but just how you’re feeling about progress toward that billion or so of dollars of sales in the Centennial Plan. Yes. Just any thoughts on progress toward that?
Howard Heckes: Yes. Thanks. Thanks, Kevin, for the question. Yes, that’s right on our radar screen, right. We knew that to get to $4 billion would include some innovative new products as we define the – drive specified demand, pillar of our strategy, as well as some strategic M&A. And we’ve said that our capital deployment strategy focuses on organic growth, which is supporting these new programs that we’ve talked about as well as M&A. We haven’t done any deals recently as you’ve said. That doesn't mean we’re not interested, but it’s got to be the right deal to tie in to that strategy, right. Strategically, if it helps us deliver consistent, reliable supply, or helps us to drive specified demand, or helps us to win at the point-of-sale, we will be active in our pursuit of those targets and we continue to believe that that’s going to be an important part of our strategy going forward. As far as the Doors That Do More, we continue to have significant enthusiasm for M-Pwr. We’re working with quite a number of builders on specifications. We remain very encouraged and believe that this would be an important part of our Doors That Do More growth. And we have a lot more exciting products in the pipeline that we’re very excited to launch over the coming months and years. It’s a long-term strategy, but we believe that we can change the way people think about their doors in the home. So I’m tickled by the progress, particularly since a lot of our attention has been redirected to day-to-day running of the company, right, with the supply chain and things like that, but great progress, I believe, Kevin. Thanks. Thanks for the question.
Kevin Hocevar: Yes. And just for a follow-up. On the Architectural business, you mentioned turning profitable is the expectation in the quarter and sounds like March, I think you said, turned profitable. So is the expectation here that maybe just slightly profitable in 2Q and then would you expect to then the next couple of quarters to keep getting better from there and more and more profitable as the quarters go on? Just curious the progression you expect out of that business.
Howard Heckes: Yes. This is Howard. And yes, that’s exactly right. So we did deliver modest profit in March. We sort of hit bottom in December, but sequentially, January, February, March made improvements and back to profitability in March. We do expect to generate modest profit in Q2 and we expect to see sequential improvements in profitability in that segment through the end of the year. And obviously, the next milestone is to get back to the sort of pre-pandemic margin levels, which are in the double-digits, sort of low teens. And obviously, we’re going to work to continue to drive down that. But that is the progression that we expect to see in that segment. We made a lot of nice progress in the quarter on eliminating backlog and improving our service metrics and getting our labor stabilized and there’s been a nagging supply chain problem with one particular component that unfortunately we use in most doors that we think we’ve generally resolved and so a lot of nice progress in the quarter and that’s what's going to lead to the profitability going forward.
Kevin Hocevar: Okay. Great. Thank you very much.
Howard Heckes: Thanks, Kevin.
Operator: Thank you. There are no further questions at this time. I’d like to turn the floor over to Mr. Heckes for closing remarks.
Howard Heckes: Thank you, Devon, and thank you all for joining us today. We appreciate your interest and your continued support, and this concludes our call. Operator, if you’ll please provide the replay instructions.
Operator: Thank you for joining Masonite’s First Quarter 2022 Earnings Conference Call. This conference call has been recorded. The replay may be accessed until May 18th. To access the replay, please dial 877-660-6853 in the U.S. or 201-612-7415 outside the U.S. Enter Conference ID 13728054. Thank you everyone and have a wonderful day.